Operator: Good day, ladies and gentlemen, and welcome to Ford's First Quarter Earnings Conference Call hosted by George Sharp. My name is Sue, and I'm your event manager. [Operator Instructions] I would like to advise all parties this conference is being recorded for replay purposes, and now I'd like to hand over to George. Thank you.
George Sharp: Thank you, Susan, and good morning, ladies and gentlemen. Welcome to all of you who are joining us today either by phone or webcast. On behalf of the entire Ford management team, I'd like to thank you for spending time with us this morning, so we can provide you with additional details of our first quarter financial results. Presenting today are Alan Mulally, our President and CEO of Ford; and Bob Shanks, Chief Financial Officer. Also in attendance are Stuart Rowley, Corporate Controller; Neil Schloss, Corporate Treasurer; Paul Andonian, Director of Accounting; and Mike Seneski, Ford Credit CFO. Now before we begin, I'd like to cover a few items. Copies of today's press release and the presentation slides that we will be using have been posted on Ford's investor and media website for your reference. The financial results discussed today are presented on a preliminary basis. Final data will be included in our form 10-Q that will be filed next month. The financial results presented are on a GAAP basis and in some cases, on a non-GAAP basis. The non-GAAP financial measures discussed in this call are reconciled to the U.S. GAAP equivalent as part of the appendix to the slide deck. Finally, today's presentation includes some forward-looking statements about our expectations for Ford's future performance. Of course, actual results could differ materially from those suggested by our comments today. The most significant factors that could affect future results are summarized at the end of this presentation. These risk factors and other key information are detailed in our SEC filings, including our annual, quarterly and current reports. With that, I'd now like to turn the presentation over to Ford's President and CEO, Mr. Alan Mulally.
Alan R. Mulally: Thank you, George, and good morning, everyone. We are pleased to have the opportunity today to review our first quarter business performance and the progress we continue to make in delivering our plans. Let's start by turning to Slide 3. For the first quarter of 2012, we delivered our 11th consecutive quarterly pretax operating profit and generated positive Automotive operating-related cash flow, although wholesale volume and total company revenue were slightly lower than a year ago due to the results in Europe. Ford North America achieved its highest operating profit since at least 2000, and Ford Credit remains solidly profitable. South America was profitable as well, but Europe and Asia-Pacific and Africa incurred losses. Today, we are also reconfirming that the total company full year pretax operating profit is expected to be about the same as in 2011, and we are announcing new actions to further de-risk our pension obligations. And we have -- and as we have done consistently over the past few years, we continued in the quarter to invest for future growth and stronger product lineup around the world. As a result, we remain on track to achieve our mid-decade outlook. Let's look more closely now to the financial highlights for the quarter. Slide 4 summarizes our first quarter business results compared with a year ago. Wholesale volume was about 1.4 million units, down 45,000 units or 3% from a year ago. Revenue was about $32 billion, a decline of $700 million or about 2%. Pretax operating profit, excluding special items, was $2.3 billion, $544 million lower than a year ago. Earnings were $0.39 per share, $0.08 lower than last year's earnings per share, adjusted for the tax valuation allowance release. Net income attributable to Ford, including the unfavorable pretax special items of $255 million, was $1.4 billion or $0.35 per share, a $1.2 billion decrease from a year ago. And about half of that decrease in net income reflects higher tax expense related to the valuation allowance released in the fourth quarter of 2011, with the balance explained by lower operating results and increased special charges. Automotive operating-related cash flow was $900 million, the eighth consecutive quarter of positive performance. We ended the quarter with $23 billion of Automotive gross cash and with Automotive gross cash exceeding debt by $9.3 billion. This is a net cash improvement of $4.6 billion compared with a year ago. Overall, we had a strong start to the year, reflecting the continued success of our ONE Ford plan. There are a number of other business highlights in the quarter as shown on Slide 5. First, we continued our strong cadence of global new product introductions and concept reveals, starting with the EcoSport in India and Brazil, followed by the Fusion and the Lincoln MKZ Concept in the U.S. In Europe, we also introduced the B-MAX, the Fiesta ST, the Kuga and Tourneo Custom Concept. In March, our CFMA joint venture opened a second assembly plant in Chongqing, increasing our passenger car capacity in China by 1/3. We delivered our 4 millionth SYNC system in the U.S. and announced that the new B-MAX will be the first product in Europe to offer SYNC. We paid our first quarterly dividend since 2006 and also declared a dividend for the second quarter. We also took additional steps to improve our liquidity by completing an amendment, an extension of our revolving credit facility, resulting in $9 billion committed until November of 2015. Now I'd like to turn it over to Bob Shanks, who will take us through more details of our financial results. Bob?
Robert L. Shanks: Thanks, Alan, and good morning, everyone. Let's start with Slide 7, which shows our financial results compared with a year ago. As Alan mentioned, pretax operating profit was $2.3 billion, and net income attributable to Ford was $1.4 billion. Pretax special items totaled a negative $255 million, $194 million worse than a year ago, reflecting primarily buyouts of hourly employees in the U.S. in line with the recent UAW agreement. As Alan noted, the increase in the provision for income taxes is more than explained by the effect of the release of our tax valuation allowance in 2011. Consistent with prior guidance, we expect our full year operating effective tax rate for 2012 to be similar to that in 2011. Let's now turn on Slide 8 to our pretax results by sector. Total company first quarter pretax profit of $2.3 billion consisted of $1.8 billion for the Automotive sector and $456 million for the financial services sector. As shown in the memo, total company pretax operating profit was $544 million lower than last year, with both sectors contributing to the decline. Compared with fourth quarter 2011, total company pretax profit improved about $1.2 billion, more than explained by stronger Automotive results. Slide 9 highlights the key market factors and financial metrics for our total Automotive business. First quarter wholesale volume, revenue and pretax operating profit decreased from last year. Operating margin was 6.4%, down 1.3 percentage points from a year ago, with the decrease attributed to our Automotive operations outside North America. Slide 10 summarizes the decrease in total Automotive first quarter pretax profit from 2011 by causal factor. The decline of about $300 million reflects higher cost across our regions and unfavorable exchange. This is offset partially by higher net pricing and lower net interest expense. As shown in the memo, pretax profit improved about $1.2 billion compared with the fourth quarter, more than explained by a seasonal reduction in total cost. More details on the quarter-to-quarter change are included in Appendix 6. Slide 11 shows first quarter pretax results for each of our Automotive operations, as well as Other Automotive. As mentioned earlier, our Automotive pretax operating profit of $1.8 billion was led by North America. South America was also profitable, but Europe and Asia Pacific Africa incurred losses, generally in line with recent guidance, although Europe's loss is somewhat smaller than we had expected. The loss in Other Automotives mainly reflects net interest expense. It's $143 million better than a year ago, reflecting lower interest expense related to our 2011 debt-reduction actions and the non-recurrence of market valuation losses associated with our investment in Mazda. We expect full year net interest to be slightly higher than last year, reflecting primarily lower interest income. Let's turn now on Slide 12 to our Automotive business in North America. First quarter wholesale volume and revenue were higher than a year ago, improving 6% and 4%, respectively. Pretax operating profit was the highest since at least 2000, when we started reflecting North America as a separate business unit. The last time we achieved a similar quarterly profit was first quarter 2004, when wholesale volume was over 1 million units, more than 50% higher than in this quarter. In addition, our volume at that time had a significantly higher mix of trucks. Operating margin in the first quarter at 11.5% also was very strong and significantly higher than a year ago. U.S. industry SAAR increased from 13.4 million to 14.9 million units, but our U.S. total market share at 15.2% was lower than a year ago. Slide 13 shows the $300 million improvement in first quarter North America pretax results compared with 2011 by causal factor. The improvement is driven by favorable volume and mix, mainly U.S.; industry that was higher; higher net pricing; lower contribution cost; and lower compensation, which is reflected in Other. A partial offset is other costs, reflecting mainly higher structural costs. As shown in the memo, pretax profit improved by $1.2 billion over the fourth quarter, more than explained by a seasonal decline in costs. Unfavorable market factors, mainly lower wholesale volume, are partial offsets. We expect North America to achieve significantly higher full year pretax profit and operating margin compared with 2011, which will be the key enabler for the company to achieve about the same level of pretax profit this year as compared to last year. Slide 14 shows our U.S. market share. U.S. total market share in the first quarter at 15.2% was 0.8 percentage point lower than the same period last year, explained primarily by lower share in the daily rental and government fleet segments. The share was down 1.1 percentage points from the fourth quarter primarily due to adverse market segmentation. Our retail share of the U.S. retail industry estimated at 13.8% was up 0.4 point from a year ago, more than explained by share gains on Focus, Explorer and F-Series. Our share was down 0.5 point from fourth quarter, fully explained by adverse market segmentation. Let's turn now to South America on Slide 15. Both first quarter wholesale volume and revenue increased by 4% from a year ago. On the other hand, pretax profit and operating margin both declined. South America industry SAAR was up marginally over last year, while our share at 9.4% was down 0.1 point. Slide 16 shows the $156 million decrease in first quarter South America pretax results compared with 2011 by causal factor. The lower profit is more than explained by higher cost, primarily contribution cost, and unfavorable exchange. Although net pricing is favorable, we were not able to offset exchange and economic factors to the same degree as we have in the past. As shown in the memo, pretax profit decreased by $54 million compared with fourth quarter, more than explained by unfavorable volume and mix and exchange. We continue to expect South America to generate solid profitability this year, although it will be lower than in 2011. Three new global products will be launched in South America this year, with the impact positively affecting results primarily in the second half. We're facing some uncertainty in the region, including a new trade agreement between Brazil and Mexico limiting vehicle imports to Brazil, the details and impact of which we're still sorting out. We'll update you on this throughout the year as appropriate. Slide 17 covers Ford of Europe. First quarter wholesale volume and revenue declined by 14% and 17%, respectively, reflecting primarily lower industry sales and production adjustments to maintain dealer stocks at appropriate levels. Pretax results were lower than a year ago but somewhat better than our most recent guidance, and operating margin was lower as well. Industry SAAR for the 19 markets we track in Europe was 1.8 million units or 11% lower than a year ago. Our market share at 8.5% was unchanged. Slide 18 shows the $442 million decline in first quarter pretax results for Europe compared with 2011 by causal factor. The decline is explained primarily by lower industry volumes, lower demand for parts and accessories and actions to reduce stocks consistent with industry levels. Contribution and pension-related cost increases are offset partially by reductions and other structural costs. As we look ahead to the full year, we continue to expect Europe to incur a loss ranging from $500 million to $600 million. Our European operations will benefit from the launches of the new B-MAX, Transit and Kuga products, in addition to completion of our stock-reduction actions and continued cost reductions. These actions will positively affect results primarily in the second half. Now let's turn to Asia Pacific Africa on Slide 19. Wholesale volumes were lower than a year ago due to the production launch of the global Focus in China. Revenue, which excludes our unconsolidated joint ventures in China, increased by 10%, reflecting primarily higher net pricing for new products. Pretax results and operating margin were lower than a year ago. Industry SAAR increased from 32.2 million to 32.8 million units mainly because of stronger industry in Japan. Our share at 2.3% declined 0.2 percentage point, reflecting primarily from adverse market mix as well as lower share for Figo and Ranger. Slide 20 shows the $128 million decrease in first quarter Asia Pacific Africa pretax results compared with 2011 by causal factor. Results were affected adversely by higher costs associated with continued investment for future growth that precede the benefit of new products across the region. This was exacerbated to some extent by a slower-than-planned launch for the global Ranger pickup from our facilities in Thailand and South Africa. As shown in the memo, the Asia Pacific Africa's pretax results are about the same as fourth quarter. Despite this first quarter loss, we continue to expect Asia Pacific Africa to be profitable for the full year, with increasing volumes as the Ranger launch progresses, new capacity comes online in China and Thailand and other new product launches occur over the balance of the year. Slide 21 covers 2012 first and second quarter production. In the first quarter, total company production was 1.4 million units, 46,000 units lower than a year ago. This is largely in line with our prior guidance. We expect second quarter total company production to be about 1.5 million units, down 24,000 units from a year ago, more than explained by the lower industry demand in Europe. This outlook is consistent with our disciplined strategy to match our production with consumer demand. Compared with fourth quarter, second quarter production is up 70,000 units. Turning now to Slide 22 on our Automotive gross cash and operating-related cash flow. We ended the quarter with $23 billion in Automotive gross cash, an increase of $100 million from the end of last year. Automotive operating-related cash flow was $909 million, reflecting pretax profits of $1.8 billion, which was partially offset by capital spending during the quarter that exceeded depreciation and amortization by $200 million and an adverse timing differences of $600 million associated primarily with the seasonal impact of vehicle financing receivables. Our cash flow before changes in debt and pension contributions was $900 million as well, including receipts from financial services of $300 million. Net debt inflows in the quarter totaled $0.5 billion. We also made payments of $1.1 billion to our worldwide funded pension plans, in line with our previously disclosed long-term strategy to de-risk our funded pension plans. Of this, $0.5 billion reflects discretionary payments to our U.S. funded plans. Slide 23 summarizes our Automotive sector cash and debt position at the end of the first quarter. Automotive debt was $13.7 billion at the end of the quarter compared with $13.1 billion at 2011 year-end. The change reflects primarily the continued drawdown of the Department of Energy Loans, which will continue through the third quarter, as well as our renminbi-based debt issuance in Hong Kong. This is consistent with our plan to achieve debt levels of approximately $10 billion by mid-decade. We ended the quarter with net cash of $9.3 billion and strong Automotive liquidity of $32.9 billion. Our liquidity includes the recently announced amendment and extension of our revolving credit facility, which resulted in $9 billion of commitments being extended to November 2015 and $300 million of commitments remaining until November 2013. Turning now to Ford Credit. Slide 24 shows the $261 million decrease in first quarter pretax results compared with a year ago by causal factor. In line with our expectations, the results are explained primarily by fewer lease terminations, which resulted in fewer vehicles sold at a gain, as well as lower financing margin and lower credit loss reserve reductions. As shown in the memo, Ford Credit's pretax profit decreased by $54 million from the fourth quarter, more than explained by lower financing margin. Consistent with prior guidance, Ford Credit expects to be solidly profitable for 2012 full year but at lower level than last year, reflecting primarily the same factors impacting our quarterly results. We project full year profits of about $1.5 billion. Ford Credit expects to pay total distributions this year of between $0.5 billion and $1 billion, and at year end, we anticipate managed receivables to be in the range of $85 billion to $95 billion. Turning now to slide 25, we'd like to share with you an important update of our pension de-risking strategy. In January, we announced a long-term strategy to de-risk our global funded pension plans. This strategy, expected to be completed by mid-decade, will reduce balance sheet and cash flow volatility and improve the overall risk profile of the company. Today, we're announcing the next step in our strategy, specifically voluntary lump-sum pension payout options to eligible salaried U.S. retirees and former salaried employees that, if accepted, would settle our pension obligations to them. We believe this is the first time a program of this type and magnitude has been done with an ongoing pension plan. Offers will be made to about 90,000 individuals. This program provides participants with the onetime choice of electing to receive a lump-sum settlement of the remaining pension obligation. Individual offers will be made over time to accommodate the size and complexity of this program, and we would expect to complete the process sometime next year. Because of the voluntary and unprecedented nature of this program, the participation level and therefore, the impact on our future pension obligation is difficult to predict. In terms of financial impact in the company, we expect minimal impact on operating income. We expect to incur noncash special item charges, reflecting the accelerated recognition of unamortized losses. There will be no impact to company cash as payments will be funded from plan assets, and we do not expect planned company contributions to our funded plans to be affected. If the program progresses, we'll provide updates as part of our quarterly reporting. And with that, Alan will now cover business environment and our 2012 planning assumptions.
Alan R. Mulally: Thank you, Bob. Slide 27 provides an overview of the business environment. Overall, we expect global growth to continue at a 3% pace during 2012. Economic growth in the U.S. is expected to be in the range of 2% to 3%. In Europe, however, we expect weak conditions, with some markets doing better than others as fiscal austerity programs are implemented. Several major emerging markets, such as China, Brazil, India, Indonesia and Thailand, are now in cycles of policy easing to support economic growth. We expect commodity prices to increase modestly in 2012 and to trend upward over the longer term given global demand. Given the prospect of global economic growth, we expect global Automotive sales to total about 80 million units in 2012 compared with about 76 million units in 2011. In light of the dynamic external environment, however, sales could range from 75 million to 85 million units. Slide 28 summarizes our first quarter status and our planning assumptions and key operational metrics in 2012. We expect full year industry volume to range from 14.5 million to 15 million units in the U.S. and about 14 million units in Europe. We expect full year market share in the U.S. to be lower than 2011 as planned capacity increases will lag demand. Share in Europe should be about the same as last year. The outlook for quality is mixed. As we now expect performance in the U.S. to be about the same as a year ago, the other regions are expected to improve. Compared with 2011, we expect Automotive pretax operating profit to improve; Ford Credit to be solidly profitable, earning pretax operating profit of about $1.5 billion; total company pretax operating profit, excluding special items, to be about equal; Automotive structural costs to increase by less than $2 billion as we support higher volumes, new product launches and our growth plans; and Automotive operating margin to improve. Capital spending should range from $5.5 billion to $6 billion. For the full year, we will deliver strong Automotive-related cash flow. Although not shown on the slide, we continue to expect commodity cost increases for 2012 to have a nonmaterial impact on the company. We are off to a good start for 2012, and we expect this to be a solid year in financial performance, consistent with our glide path to our mid-decade outlook. In contrast to the past couple of years, we do expect our total company pretax profit for the second half to be slightly higher than the first half due to the cadence of our many product launches and capacity actions. Finally, Slide 27 summarizes our ONE Ford plan. We remain focused on delivering this plan, which is unchanged. Our team delivered a solid performance during the first quarter, with particularly strong results in North America. We remain focused on making continued progress in delivering great products, investing for global growth, building a strong business and providing profitable growth for all Ford stakeholders. The external environment is looking somewhat better in North America and remains encouraging for many emerging markets. Europe, on the other hand, is a major challenge, and there are issues to address in South America. We have both challenges and opportunities ahead of us as we proceed towards our mid-decade goals. A key opportunity is accelerating the realization of the full potential of the global scale and operating margin benefits inherent in our ONE Ford plan. We are also focused on sustaining and improving our already very strong operation in North America; strengthening and growing our profitable South American operation in the face of increased competition and trade and other regional issues; responding to the near-term environment in Europe, while working to deliver sustainable and appropriate returns in this very important market through continued investment in great products, strengthening our Ford brand and improving our cost structure; executing our growth and profit plan for Asia-Pacific, including the launch of 8 plants over the next several years that will support volume representing about 1/3 of our global sales by the end of the decade compared to about 15% today; and finally, continuing the strong performance of our strategic asset, Ford Credit. We will continue our laser-like focus on strengthening the Ford brand around the world and continue the journey of making Lincoln a world class luxury brand. We are going further to achieve the full potential of our ONE Ford plan, including the achievement of our mid-decade outlook. Now we will be pleased to take your questions.
George Sharp: Thanks, Alan. Now we'll open the lines for about a 45-minute Q&A session. We'll begin with questions from the investment community, then take questions from the media. [Operator Instructions] Susan, can we have the first question, please?
Operator: Your first question comes from the line of Peter Nesvold from Jefferies.
Peter Nesvold: So I was hoping we could start with the 11.5% operating margin in North America, which was certainly significantly better than what I was anticipating even for the next year or 2. And you still talked about North America getting -- or Automotive profit getting better in the back half versus the first half. When you think specifically by North America, is this sort of as good as it can get over the next year or 2, or do you see a continued upward trend from here?
Robert L. Shanks: This is Bob. Peter, thanks for the question. I mean, we’d expect North America to be a significant contributor to the total company pretax results this year, which we mentioned is going to drive it. It's going to be up significantly year-over-year. The margin will be up significantly year-over-year. This is a fantastic results in the quarter. But you know, our quarters vary quite a bit. We'll see very, very strong year-over-year, and we expect North America to continue to perform well in the future and still on track to achieve margins of 8% to 10% by mid-decade. So fantastic results by the team, and we expect that engine that's pulling the company ahead to keep on pushing us along.
Alan R. Mulally: And also, Peter, as we noted, we expect Asia-Pacific operating profit to be positive for the year, also including South America.
Peter Nesvold: Okay. But just to be clear, I mean, as the SAAR gradually grinds higher over the next couple of years, your market share gains or your market share stabilizes to past levels, you're expanding capacity. There's no reason to anticipate that you wouldn't get further operating leverage from current levels, correct? In North America, specifically?
Robert L. Shanks: Well, as you see more volume coming onstream, I mean, obviously, there's going to be the opportunities for leverage, but you'll also have to add in capacity, which North America is doing this year to the tune of about 400,000 units. We also are going to be investing in additional products. We're going to see segmentation shifts away from trucks and larger vehicles to small over time. And as you know, we've also guided that we expect commodity costs to continue to increase on a trend basis over the period. So there will be some headwinds, but there's no doubt that the North American business is very, very strong. We expect it to stay very strong, and we think it provides even more opportunity for us in the future.
Operator: And your next question comes from Itay Michaeli, Citi.
Itay Michaeli - Citigroup Inc, Research Division: Just a question on structural cost. I think you had about a $300 million impact in Q1 globally. Is that a good run rate to think about going forward? If it would be, it sounds like maybe you would only be up about $1.2 billion, $1.3 billion on the year. I just wanted to get a sense of the cadence of structural costs in 2012.
Robert L. Shanks: Yes, Itay, this is Bob. It's a good question. As you'll recall that we've guided the full year to be somewhat less than $2 billion, and we think we're still on track to that. Most of that is to support higher volume and to support investments in growth, both for this year and in the forward years. It's going to be pretty much across all the business units. I think it's pretty light this quarter in terms of what we're seeing because we've got a lot of product launches coming, capacity launches coming, continued investment in engineering for products that will come beyond this year. So I think we're still comfortable with the guidance that we've given, so you'll see increases in the quarters coming ahead.
Itay Michaeli - Citigroup Inc, Research Division: Great. And quick follow-up on the pension de-risking. One, could you share the size of the salaried U.S. pension liability? And then two, would this also be a potential option down the road for the hourly U.S. pension liabilities?
Robert L. Shanks: Yes, this is a really significant step forward for us because it's really important that we improve the risk profile of the company, and we have announced some actions earlier this year to do that in terms of how we're going to manage the assets. But this is a huge step forward in terms of actually eliminating some of the obligation altogether. The total pension obligation we had globally was $74 billion at the end of last year. The U.S. pensions, both salaried and hourly and also some of the unqualified plans, the plans that we don't fund, about $49 billion, and this is about 1/3 of our obligations. So it's a significant number. We don't know the take rates because this has never been done before by a company certainly of this size and certainly ongoing pension plans. So we don't know what the take rates are. We have assumptions, obviously, but we prefer not to share them now because we don't know how good they are. So what we'll do is we'll give you an update every single quarter as we come along and I’ll let you know what the reaction is. But this is a big step forward, and we're very, very excited about it. I didn't answer your question, I'm sorry, on the hourly side. This is only for salaried. It's something that could be done with our hourly employees, but that would be subject to discussions with our UAW partners. And of course, those are private conversations, and we have nothing to say on that at this time.
Operator: And your next question comes from the line of Rod Lache, Deutsche Bank.
Rod Lache - Deutsche Bank AG, Research Division: A couple of things. First, just a follow-up on that pension question. I'm wondering, are the lump sums that you're offering, just qualitatively, are they less than the PBO, the way the PBO was reflected based on current discount rates? Or basically, do the ERISA rules kind of direct you to lump-sum values that are kind of similar to the way you guys are reflecting it?
Robert L. Shanks: We think that it's pretty much in line with what the obligations are, and we're driven by regulations in terms of the discount factor we'll use to take the future pension payments and bringing them back to a present value. So we think that they’re relatively consistent with the obligations on our balance sheet.
Rod Lache - Deutsche Bank AG, Research Division: Okay. And you made a comment, I think, in the release suggesting the second half will be better than the first half, and you said that again on the call. I'm wondering if embedded in that is an expectation of a little bit of weakening in the second quarter, just given that last year's full year was around $8.8 billion. You did $2.3 billion in Q1. Just related to that question, we did notice that your North American volume should be up sequentially, and there have been some reports of you guys taking advantage of shortened workweeks in Europe, which, I would presume, would help vis-a-vis your structural cost there.
Robert L. Shanks: That's a good question because as you know, over the last couple of years, the mix of first half profit to second half profit has been sort of 60-40, 63 -- or 65-35. We're not expecting that this year. We think we'll actually see a bit more of our profit in the second half than the first half. What's driving that? We're going to be adding capacity in North America, about 400,000 units. We also are bringing on capacity in Thailand with the launch of our second plant there. We're in the process of launching Chongqing 2 with the global Focus in China. So that's in launch mode, so most of the impact will be in the second half. And then we've got most of the impact of our product launches, which will benefit the company in the second half right around the world. So that's the good news, if you will. And then, of course, associated with all of that, and it goes back to the earlier question, you'll start to see more structural costs come along as we start to pick up the costs associated with all that, with the product launches, the capacity launches and the future investments that we're working on. So that's kind of what's happening second half to first half. I'd really prefer not to get into specific quarterly guidance because our quarters are pretty variable. But I think that's what we would expect to see for the balance of the year.
Rod Lache - Deutsche Bank AG, Research Division: Okay. But is there anything unusual? You're launching the Escape right now. Should we be thinking that there's some unusual seasonality to your costs? And my last question is just -- you made this comment about warranty and quality being similar on a year-over-year basis. There were some pretty significant one-timers. There was that dual-clutch transmission issue and the issue related to MyFord Touch last year. Are you trying -- are you suggesting that the costs would be similar to those, or are you trying not to just specifically speak to warranty?
Robert L. Shanks: No, what I'm talking about is specifically, it's around mostly structural cost. I think you're going to see the structural cost, recognizing, again, what we talked about in the earlier question regarding the structural costs that are going to be a little bit less than $2 billion on a year-over-year basis. You saw $300 million this quarter. So we've got quite a bit more ahead of this, and it's associated with the things we talked about, capacity launches, product launches and advertising sales promotion increases as we support those product launches. So not a lot of activity in that space in the first quarter. It's going to start to show up in the second, third and fourth. And I think that's what is really going to impact more the second quarter because, again, many of the things that we're talking about, the benefit will occur in the second half, not in the second quarter.
Rod Lache - Deutsche Bank AG, Research Division: And the warranty issue? That was a significant cost last year, if I recall correctly. Are you suggesting that the cost levels are similar?
Robert L. Shanks: No, I'm not going to give a specific forecast on warranty, but we certainly don't expect that to be the drag on the business this year that it was last year.
Operator: And your next question comes from the line of Chris Ceraso, Credit Suisse.
Christopher J. Ceraso - Crédit Suisse AG, Research Division: A couple of items and a follow-up on the comment about the direction of margin in North America. Clearly, the mid-decade target is lower than where you're running. And you mentioned a few items, one of which was mix, so I'm wondering if you can give us an idea of what you think the rough car-truck mix for you will be by the middle of the decade. And then the other element that you didn't mention, but I'm wondering if this is going to be a headwind as well, is an increase in regulatory cost to meet fuel economy standards. Is there an expected increase in the burden that you'll have to bear versus what you can pass on to the consumer that also weighs on margin as we work toward mid-decade?
Robert L. Shanks: Okay, Chris, thank you. Another good question. I think your last point is a good point. Clearly, there is going to be more product costs associated with regulations going forward. And generally, maybe over time, we can recover much of that through pricing. But we certainly can't do it usually fully when you launch and incur that cost. So I think there will be a timing element associated with that as we move into the future. And so that probably is another good point in terms of a headwind that we'll face. But when you talk about the overall margin story for North America, it's already very, very good. Again, I wouldn't take one quarter, either good or bad, and say that's a trend for the year. You know how variable our business is. But it's still a fabulous result. And there's nothing funny or onetime in those results. Those are just solid operating results that are coming through in the quarter. As we do move ahead into the future, one of the things that will be an opportunity for North America, we do expect the housing market to come back and construction, and that drags along with it higher pickup sales. And so as that occurs, despite the fact we think, overall, there'll be a segmentation pressure on us, we do think that we'll benefit from that dynamic. So we feel pretty good about that.
Christopher J. Ceraso - Crédit Suisse AG, Research Division: Okay. Another follow-up on the comment about the pension buyout thing. Can you tell us what discount rate you're using to come up with the PV of the lump sums that you're offering?
Robert L. Shanks: No, we're not sharing that now. It's a regulatory number that we'll use. We have no discretion over that. And as you know, last year, the discount rate that we had in place with the U.S. was about 4.6% or so. So it's -- and it'll also be done person by person because it's done with actuarial data around each individual and how long they might be expected to live and that sort of thing. So it's actually not one rate. It'll be thousands of rates.
Christopher J. Ceraso - Crédit Suisse AG, Research Division: Interesting. Okay. And then just one last one on the resin topic. You mentioned in the report you don't expect any downtime. Can you just give a little color on whether or not you're finding new supply or whether you're using different materials, just some update on that?
Robert L. Shanks: Yes, it's mostly around -- I guess it's largely around the fact that we have alternative materials that we can use. And interestingly, there have been some materials that the team had already previously tested because we had been thinking about using them, but didn't, so that we actually had it on the shelf, materials that had been tested and validated. So that gave us a leg up in terms of being able to address the situation. So we feel like we're in good shape from that point of view, have not had any disruptions, don't expect any disruption, and we're not going to be having to do any mix managing, so we're pretty clean.
Operator: And your next question comes from Patrick Archambault from Goldman Sachs.
Patrick Archambault - Goldman Sachs Group Inc., Research Division: I just actually want to -- yet another question on the North American margin issue. I guess it seems that one of the things that was positive here was contribution costs, both sequentially and year-on-year. I guess materials, excluding commodities, were actually a benefit. Is there some seasonality to that? Because, I guess, commodities, you said, was going to be sort of net neutral. But just with the amount of content going into all the refreshes, one would've expected that materials, excluding commodities, would be negative, particularly as you accelerate some of these launches. So is that one of the things that might have helped this quarter that might be more of a headwind as we go into subsequent quarters?
Robert L. Shanks: That's another good point because again, because there was not too much in the quarter related to new product, we didn't see a lot of product costs on a year-over-year basis. And we've got a lot of new products coming over the next several months, as you pointed out, and that will be an additional headwind as we go through the year for North America. So that will be one of the things that the business will have to overcome. I mean, it's good because we'll also pick up better pricing and it will help us on volume and so forth. But from a cost perspective, you're right. That will be something that you'll see more of as we go through the year. And Patrick, we don't think the North American margin is an issue. We think it's fantastic.
Patrick Archambault - Goldman Sachs Group Inc., Research Division: No, I just meant that it was getting a lot of attention.
Robert L. Shanks: And well-deserved attention, I might add.
Patrick Archambault - Goldman Sachs Group Inc., Research Division: Yes, absolutely. One other question is, maybe could you just walk us a little bit through the plan for South America again? You went through it relatively quickly. What are the product launches there? Specifically, when do they expect it to roll on? And sequentially, maybe how do we think about the improvement you guys are expecting there?
Robert L. Shanks: In the case of South America, let me just step back. We've had 33 quarters of profitability. It's pretty light this quarter. Next quarter, maybe a bit light as well. But it's going to be stronger in the second half. So it's one of the factors that's going to drive the second half versus first half dynamic. And the thing that's happening in South America, it's a profitable region for everyone. It's a protected market, which is in part why it's profitable. The exchange rates have been very strong there, which have also made it more attractive to importers. And so there's just so much more focus from competitors on the region. There's been about 2 million units of capacity that have been announced, I think, for Brazil alone. And to put that in context, the industry in Brazil is 3.5 million to 3.7 million units, so tremendous pressure potentially coming in terms of supply versus demand. As a result of all of that, we're seeing pressure on prices. And we're also facing new trade issues because with all these imports that are coming in, you're finding Brazil and Argentina taking free-trade agreements and making them less free. And for us, that's an issue, in particular, with Mexico because we have been exporting for Mexico both the Fusion and the Fiesta and doing so quite profitably. So that's sort of the dynamic, and so what do we do about that? What we're going to be doing is we're going to be completely replacing the entire product lineup with legacy products, with global ONE Ford products, which are just going to take the lineup into a completely different place and then really have a major positive impact on the brand. And at the same time, we're working on strengthening the brand with really a good work with the dealers and with advertising and sales promotion initiatives that Jim Farley and the team are leading. So we're going to be working on the brand. We're going to be working on product, and we're also going to be working, as always, on cost. So with all of that, we think we're going to keep North -- rather, South America on track and expect to see them to be a very profitable part of the business going forward.
Patrick Archambault - Goldman Sachs Group Inc., Research Division: Okay. And I guess just one last one on that. I mean, you've run sort of above 10% operating margins on that. I guess in the new world, it's probably going to be hard to get back up to that, but still materially better than where you’ve been in the last 2 quarters, I guess.
Robert L. Shanks: Well, I mean, I wouldn't call the last 2 quarters any indication of a trend on margins in South America. I think we'll see very good margins in South America going forward, but we're going to have to work through these sort of near-term issues. One of the things you had asked about, by the way, was product. We've got the EcoSport coming later this year. We've also -- we’re just in the process of beginning to launch the Ranger, which is very important. And then we're going to be also having some other products that will be getting into the marketplace more on an import basis. But again, because of the factors I mentioned, the volumes will be relatively low, although profits, pretty good.
Operator: And your next question comes from the line of Colin Langan from UBS.
Colin Langan - UBS Investment Bank, Research Division: Can you talk a little bit about Europe and how you expect to turn that around? Is there any sort of structural actions that you could take in terms of closing plants, or are they really just dependent upon the market recovery?
Robert L. Shanks: Well, as you know, Europe is a very big market. It's a very important market. It's got rich consumers. So we love Europe. And as you know, we've done restructuring there over really a decade. So as a result, we were profitable in 6 of the last years. So as we go into the situation that we're facing, we're going in with a business model that clearly isn't good enough to be profitable in the very, very low industry levels that we're seeing now but gives us a good platform from which to move forward. So what we're going to focus on is continuing to invest in product and even expanding our product lineup and thinking about ways that we can get more out of that product, including margins and segments and mixes and so forth. We're going to clearly work on the brand. I don't just mean revenue from that perspective but all aspects of the brand and strengthen that. And then what we clearly have to work on is cost structure. The cost structure we have would've given us a breakeven at sort of a low 15 million unit industry SAAR, which is a relatively low number for Europe, at least looking backwards. But looking forwards and with the economic environment, I think your expectations have to be a little bit dampened in terms of what the industry will be. So we clearly have a challenge in front of us to put together a business structure that will give us the ability to make the appropriate sustained returns from that region, and we're absolutely convinced that we can do that. It won't be an overnight story, but it's something that we'll attack piece by piece, and we'll put together a business model that's going to give us a successful business there.
Colin Langan - UBS Investment Bank, Research Division: And what kind of cost actions can you take? I mean, I think aren’t you at around 90% utilization currently there, or as of recently were kind of there.
Robert L. Shanks: Yes, last year, we were at 93% capacity utilization on a sort of a 2-shift straight-time basis. Now most of our plants there are on 3 shifts. So the real utilization wasn't as good as the number I quoted. And now with the actions that we see ahead of us are necessary because of the even lower industry. And just to give you an example of how low the industry is, it's the lowest -- the last -- this past quarter was the lowest industry that we've seen in Europe since 1995. So this is like looking at the U.S. back in '08, '09. It's a really, really tough environment. And the other thing that's kind of interesting is that we're not just seeing this on the new vehicle side, but we're seeing consumers who are coming in for service. They're not coming in as much and are not spending as much. So when you look at our results, about $100 million of the decline on a year-over-year basis was actually coming from parts and service, just from the factors I just mentioned. So we're going to have to work on all aspects of costs. It'll be contribution costs. It'll be the structural costs of the business. And we're going to work on revenues. It's not just a cost story. We have revenue opportunities there. So breakeven is both revenue and cost. We're going to work both of those things. We're not going to get into any details today of what we will be doing, but we know what to do and looking forward to putting that business model together that works.
Colin Langan - UBS Investment Bank, Research Division: Okay. And in terms of your Q1 retail market share in the U.S., you commented that there was adverse mix in the U.S. Do you think that's going to correct over the near term, or is that going to be a headwind for the remainder of the year?
Robert L. Shanks: Well, if you look at the last 2 years, there's been sort of this peak, if you will, in the first part of the year, in the spring, as the fuel prices went up and there was a big shift to the smaller vehicle segments. We're seeing the same thing this year. You'll have to wait and see if it comes back a bit, but that certainly has been the phenomenon of the past couple of years. The thing that we're facing, as Mark talked about in early April, though, is we're going to build everything we can build this year, and that includes the added capacity, and we're going to sell it all. So unfortunately, it's not quite enough to meet what the expected consumer demands, so it's going to show up in share. But certainly, it's going to affect our profitability or affect the strength of the business going forward because we're just capacity-constrained this year. So whatever the consumers want, we're ready to give it to them.
Operator: And your next question comes from the line of Joseph Spak, RBC Capital.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Maybe just to round out a couple of things in North America, I noticed freight was positive here. I'm just thinking about last year, when you did have to incur more freight because of the tragedy in Japan. Should that continue to be a benefit going forward and maybe even accelerate a little bit? And then also, given the capacity constraint, I mean, is it reasonable to assume you're going to focus more here on revenue realization?
Robert L. Shanks: Well, first of all, on freight, I wouldn't expect freight to be material one way or the other on a year-over-year basis in North America or across the business. But -- so I don't think it's going to be too much of a factor. When you look at -- I'm sorry, what was your second question?
Joseph Spak - RBC Capital Markets, LLC, Research Division: Just in terms of you being a little bit capacity-constrained.
Robert L. Shanks: Capacity-constrained. Well, I think we'll take advantage of opportunities that we have, but I think we have to be very careful about that. It looks like April's going to be a challenging month for us from a share perspective, and that's probably because we probably pulled back a little bit too much on incentives too quickly. Now if you look at third-party data, you can see that our transaction prices are way, way up versus last month on a year-over-year basis versus the industry average. So we're doing extremely well in pricing relative to the industry, but we're going to have to stay competitive because consumers have choices. So we'll get every dollar of revenue that we can, but we're going to stay competitive in the market.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Okay. And then maybe just one quick one. You did mention Europe was a pleasant surprise in the quarter. What was the biggest delta versus your guidance that's equal to or worse than the fourth quarter level? And what changed?
Robert L. Shanks: Well, I think the thing that's really interesting about Europe is I think there have been an expectation because we've seen that in the past in Europe, when the industry gets into challenges from sort of an industry volume perspective, is that there's tremendous discounting. And I think there had been worries and concerns from an industry perspective about what that might mean in terms of net pricing. So if you look at our results in Europe on a year-over-year basis, we were able to contain net pricing to pretty small $32 million, and that's without the benefit of any product actions, new product actions to help us. So I think that was -- we did actually a little better on pricing, and we were also able to do a little bit better on cost improvements than what we thought. The other thing that's kind of interesting in terms of our business in Europe is that we've been pulling back from the less profitable channels in Europe, so our share was unchanged as you've noted. But within that, it's actually healthier because we're doing better on the retail side, we're doing better on the sort of the commercial fleet side, and we're pulling back on the rental side, which is not healthy, and we're certainly trying not to participate to the degree that others do on the sort of the demonstration or self-registration. So the guys in the Europe are doing a pretty fabulous job of holding the line on pricing and are doing a great job of giving us healthy share.
Operator: And your next question comes from the line of John Murphy, Bank of America Merrill Lynch.
John Murphy - BofA Merrill Lynch, Research Division: First question on cadence here, Bob, just to kind of round this out a little bit. As we look at this pattern this year, it's very atypical or very different than what we've seen historically. Is this the kind of pattern we should see going forward? And really, what I'm trying to understand is, is the first half somewhat more depressed because you're just going through this last big leg of product launches and in the second half, you get a little bit of relief, and that's what we should be modeling off of going forward? Or is this just a weird cadence year, and we should be thinking of this full year as somewhat normal and the cadence returns to normal going forward, and in aggregate, there was actually nothing that's unusual about this year?
Robert L. Shanks: Well, John, I don't know that I would ever say that there's anything normal at any time about the calendarization of results in the Automotive business because it's very much affected by external events, and it could be industry, it could be commodities, it could be -- you name it, competitive actions in terms of an individual company's results and then product launches and so forth. What you're seeing from us this year is you're seeing we don't have depressed results in the first half or will have. We think the results are actually going to be very good in the first half because the full year is good. We just think we're going to do a little bit better in the second than the first, and it's really driven around what I mentioned earlier, which is a lot more capacity coming onstream, not just in the U.S. but in Asia-Pacific, and just the cadence of the product launches. They're really heading more towards sort of second quarter late and then in the second half. And that's -- it's those 2 factors which are going to give us the big bounce in the second half relative to the first half. But the first half's going to be good, and second half is going to be a little bit better, and the full year is going to be very, very strong.
John Murphy - BofA Merrill Lynch, Research Division: But as we think of the run rate going forward, it sounds like the second half would be a better litmus test for the company going forward as opposed to the first half of this year, based on what you're saying. That's my interpretation.
Robert L. Shanks: I'm not sure what you mean by a litmus test.
John Murphy - BofA Merrill Lynch, Research Division: Well, it means as we think about the run rate and margins going forward, to think about where your earnings and cash flow can ultimately go, it sounds like you're a little bit heavy on launches in the second quarter. And that is a somewhat depressing results in the first half of the year, then as we get through the second half of the year, it'll be sort of more normal. You have this capacity coming on. You'll be able to sell those, on a run rate basis, those 400,000 more units in North America. So that second half would be more of a sort of a normal run rate as opposed to what's going on in the first half, which is still good but not sort of a normal run rate.
Robert L. Shanks: Well, I think the second half clearly is going to be a little bit better and will set us up well for 2013. I think you have to be a little careful when you talk about run rates because you've got one part of the business that's cooking on all cylinders, and we expect we'll continue to do so in North America. But in terms of our run rate, I mean, we need to improve in Europe. We need to improve in South America. Asia-Pacific is still losing money and is going to be a big profit contributor in the future. So I think you have to be a little cautious when you talk about run rate. It's going to be quite different by business unit.
John Murphy - BofA Merrill Lynch, Research Division: Okay, that's very helpful. And then, Alan, just a question on the global platforms. I mean, we look at VW using MQB [ph] going forward and Toyota going to this TNGA platform. You've seen this platform consolidation for a lot of your competitors. In some ways, you can argue maybe more aggressive than what you're doing. In some cases, you could say maybe a little bit less aggressive. I'm just curious. As you look for this sort of this strive for these global platforms and commonization, where do you think you are versus the competitive set right now and where do you think you'll be over the next 1 to 2 years as you fully execute on leveraging your global platforms?
Alan R. Mulally: Well, sure, John. I think, as you know, it's a very important part of our strategy. And the kind of another neat result of our demonstration or proof point of the North America performance is the fact that they are leading on using the global platforms, too. And so if you look at the B-size, the C, the CD size, especially, and then add that worldwide to the Ranger size, T6 size, and also the commercial vans, that's nearly 80% of the volume worldwide. And most of those platforms with the top hats associated with them will be made in 3, 4, 5 locations around the world with the same building material and the same assembly sequence. So I think we feel really good about the strategy we adopted 5 years ago but also the progress that we have made because we are right there in the leading edge now based on the global platforms of getting the value and the synergy out of those global platforms. So we follow the competitors' strategies very closely. But I think we feel really good about where we are. One more thing, John, that's turned out to be more a benefit than we thought, that is with the powertrain options, the power of choice, whether the customer wants a diesel, a petrol, a hybrid, a plug-in hybrid and all electric, the fact that we have now -- that we are moving to electrifying the entire platform, having all those vehicles have the manufacturing flexibility made in the same plant, with 60%, 70% of the parts being the same and yet customized for the unique requirements around the world. Also, it's turned out to be even a more positive part of our strategy than we originally anticipated. So I think continue on the journey growing the production in Asia-Pacific and then bring, as Bob said, especially starting in the second half, bring in these local platforms, updating all the legacy ones in South America, bringing them to Europe and then leading with all of them being available in Asia-Pacific. I think we feel real good about the strategy going forward.
Operator: And we will now welcome questions from the media. [Operator Instructions] And your first question comes from the line of Tom Krisher from Associated Press.
Tom Krisher: I was wondering if you could tell me if you expect your tax rate to stay consistent around 32%, or will that fluctuate in future quarters?
Robert L. Shanks: Well, we're not going to give any guidance on any particular quarter because it can go up and down a bit based on a lot of different things, for example, where do you actually earn your profit by specific legal entity all around the world, so it's pretty complex. But what we would expect for the full year is that the rate will be pretty similar to what it was last year. And that's sort of in the low 30% range, and I think that's what you'll see from us for 2012.
Tom Krisher: Okay, very good. Bob, you said this morning that you have these substitutes for PA12 and you didn't expect any production disruptions at all. But is there no doubt about that, or is it still possible that you'll run into things? And from a consumer perspective, do I need to worry that maybe you're putting these things on the cars before they're ready and you haven't vetted them enough?
Robert L. Shanks: We've had just a wonderful working together approach on this issue with our supply base, and the results speak for themselves because we think we're going to get through this without having any issues. If anything, my understanding, and you guys can correct me here, but my understanding is that the materials we're going to be using are very, very high-quality in terms of the properties that they possess. So they're very, very good materials. There are alternatives, obviously. So for the consumer, they're not going to have any issues in terms of safety or durability or anything of that sort. These are just alternatives, and so we're fortunate that they're available. As I mentioned in an earlier conversation with someone, some of them already had been tested and validated and were on the shelf, and so we were able to move even more quickly on those. So it's been very fortunate, but it's been just another example of the Ford team working together, in this case, not only with ourselves but with our supplier partners. And the outcome is fortunate.
Operator: And your next question comes from Keith Naughton from Bloomberg.
Keith Naughton: I noticed that the Automotive debt increased slightly to $13.7 billion from $13.1 billion at the end of last year, and I was just wondering if you could tell us why.
Robert L. Shanks: Yes, thanks for that question. This is the first time in some time that we've seen an increase in Automotive debt, but the first thing I want you to know is that we are completely on track towards achievement of our $10 billion guidance mid-decade. So this is really the result of 2 factors. One, that we still have additional drawdowns. I think it's 2 or 3 drawdowns that we're expecting for loans that we're getting from the Department of Energy associated with the advanced technologies. I think that will go up until September, so we still have some more to go. And those are great for us because it's supporting additional employment and additional products with very, very high fuel efficiency for the company and the country. So this is a really great opportunity for us, so we'll continue to drill that down and start to pay it back beginning in September. And then the other thing that was very exciting for us is we just recently had the opportunity to issue this, what we call the -- it's called the dim sum bond issuance, and so it's a Chinese renminbi currency-denominated bond in Hong Kong. So we tested that market. We found that it was very receptive to us. So we'll use that in the future, and it gives the opportunity for additional financing sources to support our business in China. So those things came in. It's good debt, if you will, but it doesn't at all get us off track towards our $10 billion target.
Operator: And your next question comes from the line of Chris Isidore from CNN Money.
Chris Isidore: I was wondering if you could talk a little bit about your outlook for Europe. You're saying your outlook now is only about $14 million this year. How long do you think that those kind of depressed levels might last? Are we looking at several years before we're back more towards the $15 million -- end of the $14 million to $15 million planning range, or do you think that this is relatively -- are you working with the assumption that this is a relatively short-term decline?
Robert L. Shanks: Well we're starting from the point of view that we think the economic environment and the issues of Europe associated with the sovereign debt and addressing the sovereign debt issues are going to be around for quite some time. So we don't see this as a short-term situation. It has changed our point of view in terms of the strength of the overall market over time. We don't think, over the next 4 or 5 years, it's going to return back to the levels that we saw 4 or 5 years ago. We do think over time that we'll start to come back and there'll be some increase in volume but not, again, to the levels that we saw 3, 4 or 5 years ago. So we're factoring that into our own planning in terms of what we need to do to make our business profitable there.
Chris Isidore: So you're saying -- even $15 million might be out of -- I mean, $15 million is somewhat depressed there, too. I mean, are you saying even $15 million might be out of reach for a while?
Robert L. Shanks: Well, we don't see that in the very near term.
Operator: And your next question comes from Dee-Ann Durbin, The Associated.
Dee-Ann Durbin: You're expecting to lose U.S. share because you didn't predict how quickly sales were going to come back, and I'm just wondering what took you up there. What did you think wasn't going to happen that did, and how can you maybe improve your forecasting?
Robert L. Shanks: Well, I don't think we were tripped up. I think we were off by maybe a quarter or 2. We took a lot of actions going all the way back to the beginning of '06 in terms of taking out tremendous capacity in North America to get the business structure right. And of course, we had a point of view about when the market would start to come back and how we would match demand with our capacity. And so we have these plans in place to bring on the additional capacity. It looks like we're off by a quarter or 2 because it's coming back a little bit faster than we expected. But we'll be on track by the time we get to the end of the year, and in good shape, we expect to support our next year's demand.
Operator: And your next question is from Joann Muller, Forbes.
Joann Muller: I had 2 questions about North America. One, maybe following up on Dee-Ann's remarks. You talked about being capacity-constrained this year, and I wondered whether -- how much room there is for you to increase capacity with the existing facilities that you have in North America. Or will there be any kind of need to add factory capacity, reactivate plants that were closed, that kind of thing?
Robert L. Shanks: I'm so glad you asked that question because I forgot to say something in answering Dee-Ann. The other issue that we're facing for the capacity is that we've got all these product launches and then we've also got the capacity launches, so while the capacity is coming online and I was talking about sort of an ongoing rate of capacity we're adding, you actually have to launch the facility, whether it's a capacity increase, and then, of course, the products also, their launches associated with them. So that's one of the factors also that we're working to overcome in the second half of the year. There are additional things that we can do. We don't have all of our plants at 3-shift or 3-crew. In addition, next year, as you know, we're going to be turning the AAI into a full Ford facility. Right now, it's Mustang along with the Mazda6, so that will become a full Ford facility, so it gives us additional opportunities for capacity there. So we have a few more plants where we could add additional shifts, and we've also got AAI coming onstream as a full Ford facility next year.
Joann Muller: Okay. And then the other question was clarifying something that you said early on comparing the North American profit to -- I believe it was North America, and that's one of the clarifications. You're comparing the profit to 2000, and you talked about how the wholesales were about double at that time, and a lot of them were trucks. And so I'm trying to ascertain whether your point is that you are now able to achieve the same profit margin on a more car-balanced lineup and a lower lineup than you did before. Are we talking about margins, or are we talking about raw dollars here in the...
Robert L. Shanks: I We're applying it in all accounts, right across the board. So what we were talking about was North America, and I was talking about 2004, in the first quarter, when we had our previous high mark in terms of profitability.
Joann Muller: 2004, okay.
Robert L. Shanks: 2004. So the point is that we're making $2.1 billion in this quarter. We made $2.1 billion in that quarter. We're making that same profit with substantially less volume and with a greater mix of cars and utilities and trucks. So it really underscores the much linear cost structure of North America. It also underscores our ability to make money on vehicles other than trucks.
Joann Muller: Okay. And what was the margin then? Do you know what the margin was?
Robert L. Shanks: I don't know off the top of my head, but it was much less than the 11.5% for this year.
Joann Muller: Right. If the volume was double, it would seem to be that way. Okay.
Robert L. Shanks: Someone just told me it was 9.2%. So quite a -- it was a good margin but not a great margin.
Operator: And now I'd like to hand back to George for closing remarks.
George Sharp: Okay. Well, thank you very much, Susan. That concludes today's presentation. Thanks to all of us -- all of you for joining us today.
Operator: Thank you. Ladies and gentlemen, that concludes your conference call for today, and you may now disconnect. Thank you for joining, and have a very good day.